Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter 2015 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we'll conduct a question-and-answer session. As a reminder, this conference is being recorded, Tuesday, February 23 of 2016. I would now turn the conference over to Erik Staffeldt, the Vice President of Finance and Accounting. Please go ahead, sir.
Erik Staffeldt - Vice President - Finance and Accounting: Good morning, everyone; and thanks for joining us today for our conference call for our Q4 2015 earnings release. Participating on this call for Helix today is Owen Kratz, our CEO; Tony Tripodo, our CFO; Alisa Johnson, our General Counsel; and Scotty Sparks, our COO. Hopefully, you've had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release can be accessed under the Press Releases tab and the slide presentation can be accessed by clicking on today's webcast icon. Before we begin our prepared remarks, Alisa Johnson will make a statement regarding forward-looking information. Alisa?
Alisa B. Johnson - Executive Vice President, General Counsel & Corporate Secretary: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations. All statements in this conference call or in the associated presentation, other than statements of historical fact are forward-looking statements and are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections in forward-looking statements due to a number and variety of factors, including those set forth in our slide two and in our Annual Report on Form 10-K for the year ended December 31, 2014. Also, during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation materials provide a reconciliation of certain non-GAAP measures to comparable GAAP financial measures. The reconciliation along with this presentation, the earnings press release, our Annual Report and a replay of this broadcast are available on our website. Owen?
Owen E. Kratz - President & Chief Executive Officer: Good morning, everybody. We're going to start out this morning on slide five, which is a high level summary of Q4 results. From a pure operating results perspective, Q4 exceeded our prior outlook with EBITDA coming in at $34 million compared to the $51 million in Q3. We typically see a seasonal drop-off in Q4 and that certainly happened, but the better than expected results is primarily owed to better utilization of both the Q4000 and the Q5000 in the Gulf of Mexico. We're pleased to have put the Q5000 to work after commissioning in October, and we're pleased to report that she performed very well. For all of 2015, we finished with $173 million of EBITDA. Turning to slide six, the persistent weak industry conditions and the recent additional step-down in oil prices compelled us to take a close look at the carrying value of our assets. This analysis led us to the conclusion that we needed to impair the book value of our Production Facilities business unit, the H534, as well as writing off some of our goodwill and some other items. I won't go through each of these non-cash accounting adjustments in detail as they are outlined in the slide. On to slide seven, from a balance sheet perspective, our cash levels actually increased from the end of Q3 to year-end, rising to $494 million from $469 million a quarter ago. The increase in cash occurred even after paying down $16 million of scheduled principal payments during Q4. Similarly, our net debt declined as well to $267 million at year-end. Our revolving credit facility remained undrawn. In February, we amended the credit facility to provide us with more cushion with respect to covenant compliance. Erik will go through some of the key amendments of the provision later on. In addition, subsequent to year-end, we consummated two transactions that added to liquidity. We did a sale leaseback of our Aberdeen facility for approximately $11 million in cash. We also sold our 50% interest in Marco Polo production facility for $25 million. We'll continue to look for ways to add liquidity going forward. I'll now turn the call over to Scotty for an in-depth discussion of our operating results.
Scott Andrew Sparks - Executive Vice President-Operations: Thanks, Owen. Moving on to slide nine, in Q4, our results decreased compared to Q3 as we entered the winter months, resulting in less utilization due to seasonal factors and the weaker oil industry conditions. Our revenue in the fourth quarter declined $24 million from the third quarter to $158 million. Our gross profit margin declined from 18% in Q3 to 13% in Q4, resulting in $20 million gross profit. To mitigate the weaker industry conditions, we warm stacked both the Skandi Constructor and the Seawell partway through the quarter (5:20) in Q4, and the 534 for the entire quarter in the Gulf of Mexico to reduce costs. In Robotics we reduced the fleet by one vessel, negotiating an early termination for the vessel owner. A significant number of our non-essential offshore personnel from the stacked and terminated vessels were released by the company. Moving on to slide 10, for our Well Intervention business, in the Gulf of Mexico, Q4000 had 98% utilization working on two major projects. Q5000 entered service late-October and successfully undertook its first project, resulting in 78% utilization. The Helix 534 was idle for the period and warm stacked to reduce costs. We are currently planning to further reduce the cost by placing the vessel into cold stack for 2016 and possibly beyond. IRS no. 1 and IRS no. 2, our rental intervention riser systems, remained on hire for the entire quarter. In the North Sea, the Well Enhancer achieved 67% utilization working on seven projects in the quarter, including 21 days in December. The Skandi Constructor was utilized on four projects until the 10th of November, and the vessel was then warm stacked to reduce costs in Blyth in the UK. Moving on to slide 11 for the Robotics review. Robotics achieved 58% vessel utilization in Q4 and 48% utilization for ROVs and trenching systems. The Grand Canyon of the T1200 spread was fully utilized working on a trenching project in Brazil. The Grand Canyon II completed work in the North Sea and then commenced transit to the Gulf of Mexico and went straight to work on numerous smaller projects. The Deep Cygnus completed trenching projects in the North Sea and then commenced transit to Equatorial Guinea to undertake a walk-to-work project. The REM Installer continued on numerous ROV support projects in the Gulf of Mexico, and the Olympic Canyon concluded transit back from India, and was idle in October and November before reaching an early-negotiated settlement to return the vessel to the owner. And all business units remain intensely focused on the areas we can control, and continue to lower costs and optimize efficiency. Over to slide 12, I'll leave this slide detailing vessel utilization for your reference. Turning the call back over to Erik for a more in-depth balance sheet discussion.
Erik Staffeldt - Vice President - Finance and Accounting: Moving over to slide 14 for a review of our key balance sheet metrics. Our funded debt at December 31 decreased to $776 million, reflecting our scheduled quarterly principal payment of $7.5 million on our term loan and $8.9 million on our Q5000 loan. In February, we concluded an amendment to our senior credit facility. The amendment increased our leverage ratio capacity during 2016 of the previous 4.5:1 to 5.5:1 at March 31, and gradually declining the rest of 2016 over the year to 5.0:1 at 12/31/16. There is additional headroom provided through the middle of 2017. As a point of reference, at year-end 2015, our actual leverage ratio stood at 3.1:1. Just to confirm, the Q5000 Nordea loan does not factor into our senior credit facility leverage ratio. Other key aspects of the amendment included the following: a reduction in the overall size of the facility from $600 million to $400 million. We believe this amendment makes sense as we're currently un-borrowed on the facility and the reduction saves us commitment fees, and likely EBITDA levels for 2016 and perhaps beyond will not allow full access of the revolver anyway. Secondly, the introduction of the minimum cash reserve is dependent on actual leverage ratio. We have provided a lot more detail on this amendment with the 8-K filing a few days ago. Moving on to slide 15, provides update on our gross and net debt levels at year-end and December 31. Our net debt position decreased to $267 million in the fourth quarter from $307 million in the third quarter. Our liquidity at December 31 was approximately $744 million, comprised of cash balance of $494 million and revolver availability of $250 million. I will now turn over the call to Tony for a discussion on our 2016 outlook. Tony?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Thank you, Erik; and good morning to everybody. Moving over to slide 17, we entered 2015 in the midst of a declining industry environment. One year later, the environment continues to weaken in tandem with even lower oil prices. Our customers have responded by slashing their 2016 budgets even deeper than the reduced spending levels in 2015, thus we see no evidence of a recovery in 2016; and in fact, 2016 is shaping up to be worse than 2015. Given the fact that many of our customers are still working through their budgets and formulating which projects get sanctioned and which do not, we feel it is a bit premature to provide quantitative guidance from 2016 at this point other than to say we expect 2016 financial results for Helix to be lower than 2015. We hope to be in a position in April to provide more quantitative guidance. That being said, we can say this much on how we see the year unfolding in the near-term. It will be difficult to break even from an EBITDA basis in quarter one; combination of the weak industry conditions and typical seasonal factors. We expect quarter two to show a significant improvement as to Q5000 is scheduled to go to work for BP on April 1, and both the Well Enhancer and Seawell are scheduled to be working as well. The improvements of quarter two should continue on to quarter three before we see, again, the typical seasonal drop-off in Q4. Key assumption is the expectation that Siem Helix I enter service for Petrobras in late quarter three. And as a further note, our total backlog at year-end amounts to $1.8 billion. Moving over to slide 18, for CapEx, we expect to spend $245 million in 2016 with a substantial majority of that number associated with the completion of the topsides for the two Siem Helix vessels which are under contract to Petrobras and further progress spending in Q7000. Presently our plans are not to take delivery of the Q7000 until the end of 2018. A bit more color on our balance sheet metrics, our gross debt is set to decline $71 million in 2016, due to scheduled principal payments on our debt instruments. Our net debt levels are forecast to increase from the $267 million at year-end 2015 to somewhere between $340 million and $390 million. This range is based on a number of assumptions which could vary significantly, including the amount of operating cash flow we ultimately generate, changes in working capital, tax refunds, et cetera. The $36 million of asset sales that have already occurred in Q1 is also factored into this range. On to slide 20, more specifically by business unit, on the Well Intervention side, the Q4000 should have relatively good utilization in 2016, as well as the Q5000 which is committed to BP as of April 1. The H534 is presently warm stacked, but we're making plans to cold stack this vessel as a cost saving measure. The decision to cold stack the H534 led to the impairment charge at year-end for this vessel. On the UK side, 2016 will continue to be tough for Well Intervention. While the Well Enhancer should stay relatively busy, there's a lot less visibility for both the Seawell and the Skandi Constructor although the Seawell does have confirmed works starting in May. The Robotics business will weaken sharply in 2016. The lack of subsea infrastructure projects sanctioned in 2015 will have a dramatic impact on Robotics activities in the coming year. We have reduced our Robotics vessel fleet to four vessels as we negotiated an early termination and we lift a Canyon charter in December. We have also negotiated more favorable charter rates for the Grand Canyon fleet of three vessels under an amendment extended renegotiation. I'll skip slides 22 to 23, leave them for your reference and now turn the call over to Owen Kratz for closing remarks.
Owen E. Kratz - President & Chief Executive Officer: Thanks, Tony. I don't think I need to tell everybody that these are tough times and we anticipate 2016 will be tougher than 2015. Helix has a relatively healthy balance sheet though. Let me address three areas of concern that I've heard expressed by investors: our capital commitments, our debt obligations and our customer contracts. First, Helix has capital commitments to meet. With the SH1 is being completed this year with our contract with Petrobras and we expect it to commence work in Q3 of this year, the SH2 will be completed around year-end and it's expected to work for Petrobras 2017. So, those projects are well underway. For those two vessels, our capital commitment is just in the topsides equipment only. The Q7000 has a plan completion date at the end of 2017 with an option for delivery to occur with final payment at the end of 2018. All three of these projects are on budget. Second, Helix has debt obligations. This past quarter we actually generated positive cash flow with net debt being reduced by $40 million from $307 million at September 30 to $267 million at year-end. We'll not generate positive cash flow in 2016 due to lower levels of operating cash flow and our capital commitments. We're planning to use cash on hand in 2016 and expect that our net debt will increase to somewhere between $350 million and $390 million as Tony mentioned. We will continue to pay down our gross debt at a rate of $70 million per year in 2016 and 2017. It's our current plan to cash settle any potential put of our $200 million convertible notes in 2018, which is the first put call option date. All of this is factored into our cash flow analysis. Third, we expect that the customers will honor their contracts. The Q5000 begins a multi-year contract for BP beginning the second quarter of this year. The Siem Helix I has a signed contract to begin work for Petrobras, which is expected by the end of Q3 this year. Work orders have been issued from Petrobras, and our teams are planning and engineering the work to be done during the year. The second vessel, the Siem Helix II, will be completed and is expected to begin its work for Petrobras in 2017. But, as everyone knows and we've announced previously, Petrobras did approach us, like many in the industry, to restructure our contract as part of their cost-cutting initiatives. While I'm still not in a position to discuss these ongoing talks, it's important to note that we do have two firm contracts today, and we expect our negotiations with Petrobras to conclude shortly. With these two assets, despite the current market weakness, we would expect EBITDA growth to occur in 2017 from 2016, even without a market recovery in that timeframe. We feel that we have sufficient liquidity and operational results to meet our obligations in the current weak market conditions. We still have further cost-cutting initiatives that we'll be putting in place. We also are modeling market trends in several ways and are analyzing all appropriate options. But, as we see things now, what I've said here is the plan forward. Although the market's not getting any better right now, we would expect P&A at some point to increase as a result of regulatory requirements or operators having a desire to get it done in this cost effective environment. On the other hand, if there's a semblance of a recovery, we would expect production enhancement through Well Intervention with its low development costs to be one of the first service sectors to see a sign of recovery. We feel that we have sufficient strength to see us through this period of capital obligations while meeting and reducing our debt obligations. By the time the Q7000 is delivered, we expect to be left in a free cash flow positive operating position with relatively low debt levels and positioned well with assets ready to capture the opportunities. It's going to be a tough period for a while and may actually get worse before it gets better. We're monitoring the market and constantly assessing our options to mitigate. I'm here to tell you we'll meet our obligations and focus on preserving liquidity. We'll not rely on a market recovery to do this. If the market persists at these weak levels, we'll still get through our obligations and emerge with free cash flow from operations given what we know now. Back to you, Erik.
Erik Staffeldt - Vice President - Finance and Accounting: Thanks, Owen. Operator, at this time we will open up for questions.
Operator: Thank you. And our first question comes from the line of Chase Mulvehill. Your line is open. Please go ahead.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Hi. Good morning.
Owen E. Kratz - President & Chief Executive Officer: Good morning.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: I guess I'll just start with the first one. Just to confirm, 1Q you said break even EBITDA, right?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Yeah. Chase, I said that, Q1, it will be difficult for us to get to break even on an EBITDA basis.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. I want to make sure that it was not gross profit or EBIT, right?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Right. Yeah, referring specifically to EBITDA.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. Can you hold our hand a little bit and take us from 1Q to 2Q and kind of the puts and takes? I know you got the Q5000 starting up with BP, you have the IRS systems, having some better utilization, North Sea coming back a little bit. So, maybe just kind of help us step from 1Q to 2Q and try to understand what the increase would look like.
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Yeah. I think the big step-up is going to be the Q5000 going to work. Also, the North Sea seasonal start in Q2 and the Well Enhancer should stay busy in the spring/summer months. We do have some confirmed work for the Seawell, and there's other opportunities out there for the Seawell, as well as the Skandi. Most of it's unconfirmed at this time, but there are some opportunities for those vessels to work the high months so to speak. We also expect the Robotics business, even though it's going to be a lousy year for them, to pick up in Qs two and three; again, these are seasonal factors. So, I mean, the way we look at it, Q2 will be a relatively good step-up in terms of earnings. Q3 should be even better, and then it'll drop off again in Q4. Obviously, we're being very subjective here, because we think there are too many variables at this point to get too objective about specific numbers.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. All right. And then, can we talk about 2016 and the potential for tax refunds? I'm seeing, I guess it's about a $30 million cash interest expense, if that's right, can you confirm that? And then maybe some color around working capital.
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Yeah. We expect to receive some tax refunds, yes. We won't quantify them, because until we prepare our returns and get them done, we won't know what the actual number is. Yes, we are going to pay about $30 million in interest expense. That's pretty much set in stone. So, yes; yes to your questions.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: And any cash from working capital or should we just assume that's...
Anthony Tripodo - Chief Financial Officer & Executive Vice President: I think we're going to generate cash from working capital this year. That typically is the case as your business slides – you typically generate cash from working capital changes.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. Less than $50 million, is that a fair number?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Yeah. I think it'll be less than $50 million. Yes.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. And a last one and then I'll jump back in. The potential to further enhance liquidity moving forward around other maybe asset sales or anything like that with the non-core production facilities?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Again, Chase, I think the answer is if there are willing buyers we would consider selling.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. All righty. That's all I have, Tony. I'll turn it back over. Thank you.
Operator: Our next question comes from the line of Martin Malloy. Your line is open. Please go ahead.
Martin W. Malloy - Johnson Rice & Co. LLC: Good morning. On the Robotics side, could you talk about the outlook for the non-oil-and-gas revenues in the (23:35) wind farms off the UK?
Scott Andrew Sparks - Executive Vice President-Operations: Yeah. We have some awarded work in 2016 in the UK for wind farm work. We currently have about 110-day project awarded. That's all trenching work related. And there's other opportunities out for bid. (23:55)
Martin W. Malloy - Johnson Rice & Co. LLC: There are bidding opportunities this year that would presumably impact later years? Okay.
Scott Andrew Sparks - Executive Vice President-Operations: Yeah. There's still some in bid. And then we see that going into 2017 and 2018 there's actually a bit of an upturn there on the works we see. The bids come in generally about a year before the work and we've seen an uptick in the bid potential.
Martin W. Malloy - Johnson Rice & Co. LLC: Okay. And then stacking costs, what are they running you when you have those three vessels stacked, warm stacked? (24:27).
Scott Andrew Sparks - Executive Vice President-Operations: It depends on the size of the asset, but they're considered to be low in the operating cost. The 534 is, in warm stack mode is sub-$30,000. And if we go to cold stack, it's considerably less than that. We'll end up with no crews on board. And the warm stack costs in the North Sea are sort of $20,000 to $30,000 a day for each vessel.
Martin W. Malloy - Johnson Rice & Co. LLC: Okay. Thank you.
Scott Andrew Sparks - Executive Vice President-Operations: Okay.
Operator: Our next question comes from the line of Marshall Adkins. Your line is open. Please go ahead.
J. Marshall Adkins - Raymond James & Associates, Inc.: Good morning, guys. Obviously, you guys did a great job seasonally with the Q4000 and Q5000; a couple of questions on that. I'm assuming the Q5000's currently down. Is that accurate? And then secondly, tell us what the competitive landscape for those is on the spot market right now. Are we seeing lower prices? It seems like your pricing held up pretty good for those. I mean, just talk a little bit about both the Q4000 and Q5000 and what that's looking for outside of the contracts we know are coming from the Q5000 in April.
Scott Andrew Sparks - Executive Vice President-Operations: Okay. Q5, at this time, we're just making sure we're 100% ready for the BP contract. We're finishing up any warranty items that we had left over after the first operations. So, we're in prep phase to make sure that we're 100% ready. We'll be going out at the end of February, early-March, to complete the early DP FMEA trials. And then, two weeks after that, we'll commence mobilization for BP. So then we'll be on the full contract for the year there. The Q4000, we have some legacy contracts at the usual rates. I'd say about 50% of the year is booked up on older contracts. We are bidding some work and we have won some recent work at the more, the recent environment where we're competing against some of the drilling assets and the rates there have dropped, I'd say, 30%, 40% compared to what they would have been in previous years.
J. Marshall Adkins - Raymond James & Associates, Inc.: Okay.
Scott Andrew Sparks - Executive Vice President-Operations: We still have some days to fill out on the Q4000, but at this time we've got a fairly sizeable backlog, but still have days to fill out.
J. Marshall Adkins - Raymond James & Associates, Inc.: Okay. Perfect. Remind me on the BP contract, is that 100% for BP? It seems like you were going to – it wasn't 100% for BP and you were still going to have some openings to do spot work.
Scott Andrew Sparks - Executive Vice President-Operations: Yeah. Well, for 2016, once we go and hire, the rest of the year would be entirely for the BP, and then the following years it's 270 days per year.
J. Marshall Adkins - Raymond James & Associates, Inc.: Okay. Last question from me, we have the Brazil contract with the Siem vessels coming out. All of us are terrified of Brazil, so, what confidence level do you have that that thing goes off on the timing that you're thinking or what gives you confidence is maybe a better way to put it.
Owen E. Kratz - President & Chief Executive Officer: Marshall, this is Owen. I think, since Petrobras first came out and asked us to look at the terms of the contract as they did everybody. I think one of the things that occurred is that we have two firm contracts already in place. What gives me some confidence is that Petrobras has stated and to-date I have not seen them terminate any valid in place contract, that's the first thing. Second of all, we were told that the negotiations stretched out because we just weren't as high a priority as some of the other things that they had to be dealing with. Third, they've been pretty honorable with us through the whole negotiation. And even though we have firm take-or-pay contracts with no termination provisions, we have shown a willingness to try and work with them to both of our mutual benefit. And I think that's been appreciated on their part. I think we're well down the road. There's just some final things that need to be cleared up. But, we do expect for it to – first of all, we have contracts in place. What I'm talking about are the negotiated amendments that are potential. And we expect those to go for approval fairly soon.
J. Marshall Adkins - Raymond James & Associates, Inc.: Right. Thank you all.
Operator: Our next question comes from the line of Matt Marietta. Your line is open. Please go ahead.
James Brooks Braden - Stephens, Inc.: Good morning, gentlemen. This is Brooks Braden filling in for Matt Marietta. How are you all?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Good.
James Brooks Braden - Stephens, Inc.: Okay. Just a couple questions. For both your existing and upcoming committed work, what kind of protection do you have against customers looking for reductions in operating day rates? And kind of as a follow-up, how willing are you to defend the utilization at the risk of further erosion?
Owen E. Kratz - President & Chief Executive Officer: Well, that's a big question. Contract-wise, we don't have that many full-term multi-year contracts. We've mentioned the BP; that one's firm and in place. The Petrobras contracts, I just went through. The Shell contract we have more years remaining on the current contract. And we work well with Shell. So I think our existing contracts are looking good. The spot market, the nearer term spot market that has been awarded on a nearer term basis, on a one-off basis, there is pressure from the clients to seek further sheltering from expenditure of cash right now. So, I think most of those are – the discussions are more around the timing of when the work gets done rather than the rates. To get to your question on rates, we have been aggressively defending our rates. In the North Sea the rates are holding up better than the Gulf of Mexico, primarily because we don't really compete against drill rigs in the North Sea. Here in the Gulf of Mexico there has been some pressure from the drill rigs, which have required us to be more competitive on our rates. But, where we're trying to be more competitive is in the very short-term outlook spot market in order to fill gaps in the schedule where otherwise we would just be incurring idle asset time at the dock anyway. So, that's where we've been the most aggressive.
James Brooks Braden - Stephens, Inc.: Okay. That's all great color. Thank you. And then one follow-up from me. What kind of blend and extend type opportunities similar to what you all did with the Skandi do you have to kind of take advantage of or potentially pursue to add to your backlog? It looks like that kind of stayed flat quarter-on-quarter.
Scott Andrew Sparks - Executive Vice President-Operations: I'm not quite following the question there, but we do have blend and extend contracts that have been amended with all three of the (31:49) Grand Canyon vessels, but those vessels will be going out in the spot market. So, it's basically that we've extended the charters, but we've taken reductions out through a couple of years on the cost basis.
James Brooks Braden - Stephens, Inc.: Sure. Okay. Yeah. That's what I was getting at. Thank you. I'll turn back over.
Operator: Okay. We have a follow-up question from the line of Marshall Adkins. Your line is open. Please go ahead.
J. Marshall Adkins - Raymond James & Associates, Inc.: Well, if nobody else is going to ask questions, I'm going to jump in and ask few other ones I had. Kind of off the wall, any update on the Schlumberger JV? Do you see anything happening there, any work coming in due to that?
Owen E. Kratz - President & Chief Executive Officer: This is Owen, Marshall. I think as we mentioned on past calls, the Schlumberger JV is sort of a long-term prospective for us. I think all of the projects that we were chasing in combination with Schlumberger are still on the table. I think this market, though, just makes the timing of when they occur even less certain than it was before, so I'd say it's still in the future.
J. Marshall Adkins - Raymond James & Associates, Inc.: Right.
Scott Andrew Sparks - Executive Vice President-Operations: We have started working closely to bring a more efficient package to the clients where both parties are adding their assets on to our vessels and we're looking at risk and different ways of contracting to the clients.
J. Marshall Adkins - Raymond James & Associates, Inc.: Okay. Tony...
Owen E. Kratz - President & Chief Executive Officer: (33:20)
J. Marshall Adkins - Raymond James & Associates, Inc.: Go ahead.
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Go ahead, Marshall. Go ahead, Marshall.
J. Marshall Adkins - Raymond James & Associates, Inc.: Yeah. Tony, just some housekeeping items, so we don't have to follow up too much offline. Can you help us with – you gave us good guidance on the CapEx, but looking out to next year, I know your overall guidance would need to wait until the work comes in, but can you help us with the SG&A, depreciation, the corporate elimination stuff? I know you all have been cutting costs. Any stuff on that you can share with us in terms of directional guidance?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: I expect SG&A spending, certainly, we're not adding anything. If anything, I expect SG&A to go down. My only caveat there is we booked some pretty low levels of stock compensation in 2015, because of how the stock price dropped. But, from a pure cash standpoint, I expect SG&A to come down in 2016.
J. Marshall Adkins - Raymond James & Associates, Inc.: And I assume depreciation, obviously, with the write-downs comes down pretty sharply. Can you give us a magnitude of that?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Yeah, depreciation will actually go up because of the Q5000.
J. Marshall Adkins - Raymond James & Associates, Inc.: Oh, that's right. That's right.
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Erik, do you want to add?
Erik Staffeldt - Vice President - Finance and Accounting: We are taking out the 534.
Anthony Tripodo - Chief Financial Officer & Executive Vice President: 534 will stop, but the (34:43) will have more depreciation...
Erik Staffeldt - Vice President - Finance and Accounting: Yeah, we'll have a full year of the Q5000 as opposed to we had a partial year in 2015.
J. Marshall Adkins - Raymond James & Associates, Inc.: So, any guidance – I mean, a lot of moving parts there. Obviously, for us to put all that together is going to be pretty tough. Any annual guidance you can give on depreciation at this stage or should we wait?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Marshall, let's get back to you offline, because I don't want to shoot numbers off the top of my head and be wrong.
J. Marshall Adkins - Raymond James & Associates, Inc.: Got you. Last one on me. You mentioned in the comments P&A activity. I assume that's still fairly muted so far. Is that the case or are you hearing any rumblings on the P&A side?
Owen E. Kratz - President & Chief Executive Officer: We're being approached by producers that have expressed interest in getting P&A work done. In the most recent environment, though, I think the overwhelming driver was that they just didn't want to spend cash at all. Now, P&A is regulatory-driven, but as we all know, there are certain things you can do to defer it and move it around. And to the extent that they can, they have elected to defer any work at all, including P&A, as long as they can, but that's a rubber band that's sort of getting stretched back. So at some point P&A will start to increase again.
J. Marshall Adkins - Raymond James & Associates, Inc.: Right. Guys, very helpful. Thanks again.
Operator: Our next question comes from the line of Joe Gibney. Your line is open. Please go ahead.
Joseph D. Gibney - Capital One Securities, Inc.: Thanks. Good morning, guys. Just a quick question on first quarter utilization within your Well Ops fleet, Tony, just kind of tracking towards this breakeven EBITDA profile, embedded in that assumption, is the Skandi, the Q5000 and the Well Enhancer to be there, sort of, this breakeven at best EBITDA? I mean, should I just be assuming that they're just not working at all in 1Q? I'm just trying to understand the depth of this utilization trough in the first quarter that you're implying for some of those assets.
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Yeah. The Skandi is likely to have zero utilization in Q1, the Q5000 as well, because we're strictly focused on get ready for BP. So, it's going to have zero utilization. The Well Enhancer does have some contracted backlog, but it doesn't start until March.
Joseph D. Gibney - Capital One Securities, Inc.: Okay. That's helpful. And in terms of the timing of the cold stack of the 534, I mean, is it imminent? Is that more getting it ready for second-half? I missed that in your comments if you indicated it.
Scott Andrew Sparks - Executive Vice President-Operations: We'll have that process concluded within the next two weeks.
Joseph D. Gibney - Capital One Securities, Inc.: Okay. Okay. And then last one from me...
Owen E. Kratz - President & Chief Executive Officer: Joe, if I could...
Joseph D. Gibney - Capital One Securities, Inc.: Yeah, go ahead.
Owen E. Kratz - President & Chief Executive Officer: If I could just add on the 534, the 534 was purely a cash cost savings decision. The potential to work the 534 you could say might be there. But, the cost to bring it back out of cold stack during the first 12 months is probably less than the cost to maintain it in warm stack. And the amount of time to bring it back out of cold stack is not that detrimental given the visibility on the timing of engineering the project, should one occur. So that's sort of giving you some color behind the decision. It was literally just to conserve some more cash.
Joseph D. Gibney - Capital One Securities, Inc.: Okay. Helpful. I'll turn it back. Thank you.
Operator: Our next question comes from the line of Haithum Nokta. Your line is open. Please go ahead.
Haithum Mostafa Nokta - Clarkson Capital Markets LLC: Hey. Good morning, guys. I was going to, I guess, ask maybe to expand a little bit on Marshall's last question on P&A and I guess decommissioning-related work. I guess, particularly in the North Sea, can you talk about maybe how customer body language has changed from maybe like the November/December timeframe to now? Would you say at the oil price of $40, $45, that there could've been some P&A or a lot more P&A work this year but the collapse to $30 a barrel kind of just wiped that out? Or was the plan all along to kind of just kind of keep cutting cash cost as much as possible for operators?
Scott Andrew Sparks - Executive Vice President-Operations: Going into the year, we always knew that Q1 from a seasonal perspective was going to be very quiet from a Well Intervention side of the business in the UK. There is P&A activity going on in the North Sea. I would say that the price of oil going down into the $30s has made the clients reevaluate when they'll take the work and if they'll do some of that work this year. We expect to see one of the vessels busy on our outlook right now. We're in discussions to get a second vessel with fairly high utilization. But again, we're in those discussions. And the clients are somewhat more erratic than in the past, and certainly taking longer time to contract up. And within that time they're always trying to get a rate reduction also.
Haithum Mostafa Nokta - Clarkson Capital Markets LLC: Right. Right. Okay. And then just two kind of more modeling questions, but I guess closer to the fourth quarter this year, once the first Siem vessel goes on contract in Brazil, are the average costs in Brazil going to be meaningfully higher than kind of your average costs now between the Gulf of Mexico and North Sea or will they be consistent?
Scott Andrew Sparks - Executive Vice President-Operations: They're fairly consistent across each asset.
Haithum Mostafa Nokta - Clarkson Capital Markets LLC: Okay. And then for the Grand...
Erik Staffeldt - Vice President - Finance and Accounting: The one thing -
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Go ahead, Erik, try and clear. (40:42)
Erik Staffeldt - Vice President - Finance and Accounting: The difference there just to point out because it is chartered vessels, for Brazil, it'll have a higher cash component cost as opposed to an owned vessels.
Haithum Mostafa Nokta - Clarkson Capital Markets LLC: Right. Okay. And then lastly, on the Grand Canyon III, can you just – startup now pushed to 2017, is that correct or how did that work?
Scott Andrew Sparks - Executive Vice President-Operations: Yeah, correct. We're originally planning to have the vessel come to us in April of 2016. We've completed a blend and extend there with the owners of the vessel where we'll now keep the vessel in a very low cold stack rate for a one year commencing in May, so that'll take you through to May 2017. We can start up the vessel in relatively short order; we've been told we can start up within two weeks to three weeks if the market changes and we decide to bring it up. So, basically we have a very low cold stack rate and the charter doesn't commence until May of 2017.
Haithum Mostafa Nokta - Clarkson Capital Markets LLC: Okay. All right. That's all I had. Thank you. I'll turn it back.
Operator: Okay. We have a follow-up question from the line of Chase Mulvehill. Your line is open. Please go ahead.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Hey. Thanks for letting me back in. Here I'll ask a couple more questions. So, if we think of the IRS systems in 2016 versus 2015, you're going to have two IRS systems in the rental market, right, now that you're going to cold stack the H534?
Scott Andrew Sparks - Executive Vice President-Operations: Yes, we'll have two available but we do see the rental market being far less in 2016 than we had in 2015. We had two longer term contracts for two units for most of 2015 for both units.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. So those were effectively fully utilized throughout 2015 and one unit goes down...
Scott Andrew Sparks - Executive Vice President-Operations: One was fully utilized...
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Sorry?
Scott Andrew Sparks - Executive Vice President-Operations: One was fully utilized and one went on hire in June of 2015.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. And then one will go down in the first quarter for maintenance, right?
Scott Andrew Sparks - Executive Vice President-Operations: Correct. Yes.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: And so you don't have any – you basically got to go to the spot market and try to get these things rented, right? You don't have any contracts as of yet?
Scott Andrew Sparks - Executive Vice President-Operations: They are both currently concluding the contracts they're on now. They're having their rework completed and then forward-looking, we don't see any contracts right now. We have two bid potential out there, but there's not much that we're seeing right now.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. All right. And will the Skandi be warm stacked the entire first quarter?
Scott Andrew Sparks - Executive Vice President-Operations: Yes.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: And is there a – what's the cost difference between warm stacking and basically just marketing it?
Scott Andrew Sparks - Executive Vice President-Operations: Basically we have a lot of charter costs. But we've taken all of our personnel off the vessel for Q1. And to be able to market it and go to work the next day, we'd have to carry a significant amount of people onboard the vessel. So with the visibility we have now, we've released and they're all, apart from one or two guys on the vessel, from the company.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. So, do they still have the marine crew on there? I know you (44:04)
Scott Andrew Sparks - Executive Vice President-Operations: Marine crew is onboard, a smaller marine crew is onboard.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. All right. And then, so Robotics, as we kind of move forward into 1Q, assuming it'd be hard to breakeven EBITDA, does that assume that Robotics is negative EBITDA?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: I think Robotics will be in the same boat as Well Intervention in Q1; it will struggle to break even.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. All right. And you're talking EBITDA, not EBIT, correct?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: I'm talking EBITDA, right.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay.
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Robotics is – it will be challenging for Robotics to break even from EBITDA standpoint in Q1.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. Last one, and sorry if you've mentioned this earlier, did you talk about when you plan to do the HP1 dry dock?
Scott Andrew Sparks - Executive Vice President-Operations: The HP1 dry dock will now be end of Q3 2016.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. And can we just go back, I think, it was what 2013 and look at the last time it was dry dock and assume that, that'll be, I think, it was 46 days back then and Production Facilities' EBITDA declined by I think it was roughly $4 million. Is that a fair modeling assumption?
Scott Andrew Sparks - Executive Vice President-Operations: This dry dock will be considerably less than the 46 days. It's an intermediate dry dock.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay.
Erik Staffeldt - Vice President - Finance and Accounting: Also, the oil prices...
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: That's all I have.
Erik Staffeldt - Vice President - Finance and Accounting: The oil prices are significantly lower now than they were back then. And I don't think the $4 million would be comparable.
Owen E. Kratz - President & Chief Executive Officer: And the speculation on the dry dock days is purely speculation because on a dry dock you really don't know how many days you're going to have until you actually haul out. And then the regulators come onboard and they develop your work scope. So, as we get closer, we'll be able to give you some better visibility on the potential length of the dry dock.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. So I'll squeeze in one more. So back on your net debt guidance or expectations, I won't call it guidance, of $350 million to $390 million, what does that include for working capital and tax refunds? Is there a range or anything we should be thinking about?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Well, since we don't want you to solve the riddle of EBITDA, we're not going to give you those ranges either, Chase. All we're going to say is that we expect working capital to be positive and tax refunds to contribute positively in cash.
B. Chase Mulvehill - SunTrust Robinson Humphrey, Inc.: Okay. All righty. Well, thanks for the time. Thank you.
Operator: We have a follow-up question from the line of Martin Malloy. Your line is open. Please go ahead.
Martin W. Malloy - Johnson Rice & Co. LLC: Yes. How much is left to spend on the Q7000 after 2016?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Post-2016 – Erik, help me out here. I'm going to say about $230 million to $250 million.
Erik Staffeldt - Vice President - Finance and Accounting: That's in the right range.
Anthony Tripodo - Chief Financial Officer & Executive Vice President: Post-2016.
Owen E. Kratz - President & Chief Executive Officer: That's inclusive of our internal costs.
Erik Staffeldt - Vice President - Finance and Accounting: Inclusive of our project costs.
Owen E. Kratz - President & Chief Executive Officer: Yeah. The shipyard, the remaining shipyard balance is more like $210 million.
Erik Staffeldt - Vice President - Finance and Accounting: Correct.
Martin W. Malloy - Johnson Rice & Co. LLC: $210 million, all right. Is that remaining shipyard balance, is that mostly due when you would take delivery of it potentially out in late-2018?
Anthony Tripodo - Chief Financial Officer & Executive Vice President: On the shipyard side, two-thirds of that figure is upon delivery.
Martin W. Malloy - Johnson Rice & Co. LLC: Okay. And maintenance CapEx, I think you've got $30 million in there for this year. As we look out with the Siem vessels working, maybe the $30 million to $40 million area, is that a good range for maintenance CapEx ongoing, annually?
Owen E. Kratz - President & Chief Executive Officer: On a straight line basis, yes, but it'll be lumpy depending on the timing of the dry docks. 2017 CapEx is projected to be far below 2016.
Martin W. Malloy - Johnson Rice & Co. LLC: Okay. And then, just one last question, it seems like you all have been competing with some of the floating drilling rigs that are under contract for doing Well Intervention P&A work. As those contracts continue to roll off, is there any change or impact on you all in terms of the competitive dynamics in the market for well intervention P&A work?
Owen E. Kratz - President & Chief Executive Officer: I think that's one of the variables that we're trying to track with some of our market tracking. It's unclear to us how aggressive the rig operators are going to be in trying to maintain a fully operational rig and chase what is essentially two weeks to three weeks spot market jobs out in the open market. Historically, it's not been a pattern that rig operators have followed, but this time we have seen a few that are attempting or at least talking about doing it. So, how many do it and how long they persist in doing it are two of the things that we're tracking that makes it difficult to quantify how much market share that we sacrifice to them.
Martin W. Malloy - Johnson Rice & Co. LLC: Okay. Thank you.
Operator: Our next question comes from the line of Bill Dezellem. Your line is open. Please go ahead.
William Joseph Dezellem - Tieton Capital Management LLC: Thank you. Would you dive into some more detail on your incise from conversations with customers about their desire to spend money to enhance production in this environment versus just totally trying to reduce their cash outflow?
Owen E. Kratz - President & Chief Executive Officer: I can't – it differs from client to client. But, I'd say, in general, I think, there's a broad desire on the part of at least the operating level of the producers to spend money on production enhancement, but the mandate is from corporate to just not spend any cash.
William Joseph Dezellem - Tieton Capital Management LLC: So you're really seeing two different mindsets; corporate mindset versus the guys that are actually responsible for the individual field's mindset?
Owen E. Kratz - President & Chief Executive Officer: That's correct. We're seeing the work out there that is to be done. It's just when is the corporate mindset going to come – get a little more – find a little more ease in making the call to release the funds. I think, I think what you will see and this is pure blue sky on my part, but these wells can only go so long without being worked on. So, decision to not spend cash today is purely bad as a short-term decision, but eventually, I think, you'll see a lot more unbudgeted work starting to crop up.
William Joseph Dezellem - Tieton Capital Management LLC: And one additional follow-up. What's the timing if and when the corporate group says, okay, it's all right to spend some money that you can move forward and the guys in the field can make that decision? Is that reasonably quick, within a quarter's time period or does this stretch out longer than that due to the complexity of many of these fields?
Owen E. Kratz - President & Chief Executive Officer: I think it has more to do with the timing of the budgeting process. You know what, the producers go through a budgeting process. Once the budget's set, it's pretty much set for the remainder of the year. So, I think for them to start allocating funds over and above budgets. And I don't know how they're doing this internally. They could be setting two budgets, one main budget and one contingency budget. We don't have that kind of visibility with our clients. But, that's some of the input that we're waiting to get back from the clients. We know that they had the work to be done. We know corporate doesn't want to spend the cash. The question is how do they get it done and when.
William Joseph Dezellem - Tieton Capital Management LLC: Great. Thank you for taking the question.
Scott Andrew Sparks - Executive Vice President-Operations: Responding to the word technically is within a quarter. It's easy for us to respond from a technical point and man up to the project and the project regulatory requirements are all easily done.
William Joseph Dezellem - Tieton Capital Management LLC: Thank you both.
Operator: And there are currently no further questions on the phone lines at the moment.
Erik Staffeldt - Vice President - Finance and Accounting: Okay. Well, thanks for joining us today. We very much appreciate your interest and participation, and look forward to having you on our first quarter 2016 call in April.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask you please disconnect your lines.